Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Partner Communications' First Quarter 2022 Results Conference Call.  As a reminder, this conference is being recorded. I would now like to turn the call over to Mr. Amir Adar, Head of Investor Relations at Corporate Projects. Mr. Adar, please begin.
Amir Adar: Thank you, and thank you to all our listeners for joining us on this conference call to discuss Partner Communications' first quarter results for the year 2022. With me on the call today is Tamir Amar, Partner's Deputy CEO and CFO; Avi Zvi, Partner's outgoing CEO, sends his apologies that he cannot join the call today. Tamir will provide an update on Partner's business development and a detailed discussion of our quarterly financial and operational results, after which we will move on to the Q&A. Before we begin, I would like to draw your attention to the fact that all statements in this conference call may be forward-looking statements within the meaning of Section 27A of the U.S. Securities Act of 1933 as amended, Section 21E of the U.S. Securities Exchange Act of 1934 as amended and the safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Regarding such forward-looking statements, usually aware that Partner's actual results might vary materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are contained in Partner's press release dated May 24, 2022, as well as Partner's filing with the U.S. Securities and Exchange Commission on Form 20-F, F-1 and 6-K as well as the F-3 self-registration statement, all of which are readily available. Please note that the information in this conference call related to projections or other forward-looking statements is subject to the previous safe harbor statement as of the date of this call. For your information, this call is also being broadcast over the Internet and can be accessed through our website. If you have any further questions following the call, please feel free to connect me at 972-54-781-5051. I will now turn the call over to Partner's Deputy CEO and CFO, Tamir Amar. Tamir?
Tamir Amar: I'm sorry, I was on mute. Thank you, Amir. Good morning, everyone, and good afternoon to those who joined us from Israel, and welcome to our earnings conference call. Partner continued with its positive financial momentum and started 2022 with excellent results, which demonstrated the company's ability to combine subscriber and revenue growth with improvement in profitability. Partner continues to lead 5G in Israel with a high rate of cellular subscriber base growth with consistent ambition of new subscribers at the same time as churn rates continue to fall. This, on a KPI level, our cellular subscriber base increased in the quarter by 40,000 subscribers, of which 37,000 were postpaid subscribers. The cellular option rate in the first quarter of 2022 totaled 7%, excluding Ministry of Education subscriber of churn rate totaled 6.7% compared to 6.9% in the corresponding quarter last year. ARPU in the first quarter remained stable at ILS 48 for the fifth consecutive quarter. The cellular segment achieved service revenue growth for a fourth consecutive quarter together with a higher profitability than was achieved in the previous and corresponding quarter last year. Turning to the fixed-line segment with 807,000 households connected to the fiber optics network. As of today, we are on track to reach about 1 million homes connected by the end of 2022. The increase in fiber-optic's revenue and even achieved a record high for quarterly growth as the fiber-optic subscriber base increased by 21,000 in the quarter. Partner's fiber-optic subscriber base totaled 233,000 at the end of the quarter, reflecting a 30% penetration rate from potential customers in connected buildings unchanged from the rate at the end of the previous quarter and the corresponding quarter last year. Partner has become this year a national infrastructure player in the fixed-line segment as well. This transition is strengthened by an impressive fiber-optic rollout rate and the signing of significant deals, which will benefit the company's future, including the Tamares Telecom and FREETV. Regarding TV, we have returned to our original strategy of a super aggregator, and we offer today to the customer a focused and flexible product that provides the freedom to choose what to watch and what to pay for. The number of our subscribers totaled 225,000 at the end of the quarter. This trend in the fixed-line segment resulted in an increase of 29% in adjusted EBITDA compared to the corresponding quarter last year, together with an improvement in the profitability margin to 28% compared with 22% in the corresponding quarter of 2021. On a company level, adjusted EBITDA in the first quarter of 2022 totaled ILS 257 million, an increase of 23% compared to ILS 209 million in the corresponding quarter last year. Adjusted free cash flow for the quarter totaled ILS 25 million. CapEx payments totaled ILS 170 million. Net debt was ILS 720 million at the end of the quarter compared with ILS 639 million at the end of the corresponding quarter last year, an increase of ILS 81 million. The company's net debt-to-adjusted EBITDA ratio stood at 0.7 at the end of the quarter compared to a ratio of 0.8 in the previous quarter and the corresponding quarter last year. I will now be happy to open the call for questions. Moderator, please begin the Q&A.
Operator: Mr. Amir, would you like to make your concluding statement?
Amir Adar: Yes. Thank you. As Avi stated in our press release, the improvement in financial and operational measures is due to the work and commitment of the company's dedicated employees and to the clear strategy, which was outlined by management over the last year. Thank you all again for joining. We are, of course, at your service if you have any additional questions. Have a good day.
Operator: Thank you. This concludes the Partner Communications' First Quarter 2022 Results Conference Call. Thank you for your participation. You may go ahead and disconnect.